Operator: Greetings. At this time, I would like to welcome everyone to QuickLogic Corporation's Fourth Quarter and Fiscal 2023 Earnings Results Conference Call. As a reminder, today's call is being recorded. I would now like to turn the conference over to Ms. Alison Ziegler of Darrow Associates. Ms. Ziegler, please go ahead.
Alison Ziegler: Thank you, operator, and thanks to all of you for joining us. Our speakers today are Brian Faith, President and Chief Executive Officer, and Elias Nader, Senior Vice President, and Chief Financial Officer. As a reminder, some of the comments QuickLogic makes today are forward-looking statements that involve risks and uncertainties, including but not limited to stated expectations relating to revenue from new and mature products; statements pertaining to QuickLogic's future performance, design activity and its ability to convert new design opportunities into production shipments; timing and market acceptance of its customers' products; schedule changes and production start dates that could impact the timing of shipments; the company’s future evaluation systems; broadening the number of our ecosystem partners; and expected results and financial expectations for revenue, gross margin, operating expenses, profitability and cash. Actual results or trends may differ materially from those discussed today. For more detailed discussions of the risks, uncertainties and assumptions that could result in those differences, please refer to the risk factors discussed in QuickLogic's most recently filed periodic reports with the SEC. QuickLogic assumes no obligation to update any forward-looking statements or information, which speak as of the respective dates of any new information or future events. In today’s call we will be reporting non-GAAP financial measures. You may refer to the earnings release we issued today for a detailed reconciliation of our GAAP to non-GAAP results and other financial statements. We have also posted an updated financial table on our IR web page that provides current and historical non-GAAP data. Please note, QuickLogic uses its website, the company blog, corporate Twitter account, Facebook page, and LinkedIn page as channels of distribution of information about its business. Such information may be deemed material information, and QuickLogic may use these channels to comply with its disclosure obligations under Reg FD. A copy of the prepared remarks made on today’s call will be posted on QuickLogic's IR web page shortly after the conclusion of today’s earnings call. I would now like to turn the call over to Brian. Go ahead, Brian.
Brian Faith: Thank you, Alison. Good afternoon everyone and thank you all for joining our fourth quarter fiscal 2023 conference call. Q4 revenue increased 83% year-over-year to $7.5 million. This growth was driven by record high IP revenue. Full-year revenue increased 31% to $21.2 million. New products represented 86% of total revenue in 2023, up from 72% of total revenue in 2022. We believe the percentage of new product revenue which is driven mostly by IP contracts will increase again in 2024. We set several new all-time records for QuickLogic in 2023. These include new quarterly records for non-GAAP operating profit and non-GAAP net profit set in Q4 and for the full-year. We also set new records for non-GAAP operating margin and non-GAAP net profit margin. Based on our outlook for greater than 30% revenue growth in 2024, which is well-supported by our record $168 million opportunity funnel, we anticipate eclipsing those records this year. The short story here is the IP business model we launched in 2020 is delivering strong results. Over the last three years, we have delivered a topline growth of 146%, increased our non-GAAP gross profit dollars by over 230%, and with a modest decrease in non-GAAP operating expenses, improved our operating leverage by over 250%. With this performance, a profitable year now under our belt, and an outlook for continued growth driven mostly by new IP customers, I think it’s fair to say our new IP business model has developed solid traction. Let’s take a few minutes now to update the status for some of our major contracts: Last August, we announced the award of the second phase of our government contract, that has a total potential of $72 million. This phase added Honeywell Aerospace as a foundry partner, and increased the funding from phase one levels to bring Honeywell up to speed quickly. Phase two also funded our continued activity with SkyWater Technologies. In our growth projections for 2024, we are modeling a return to the funding rate of phase one for the next phase of this contract. This outlook may prove to be conservative, but providing conservative projections is our goal. While we are highly confident of achieving our 30% plus revenue growth objective in 2024, the timing and cadence of large IP contracts and a strategic shift in how we allocate revenue between engineering services and IP will push the recognition of certain revenue into the second half of 2024. It is important to note this shift in allocation does not impact or delay our cash flow from IP contracts. Cash flow from IP contracts will remain as it has been in past years. This shift simply better aligns revenue with the value of our deliverables and improves our ability to effectively negotiate and win future contracts. Beyond building on the success of our large government contract, we are very well positioned to significantly expand our IP business across many new customers and market sectors, as well as the number of fabrication nodes supported by our IP in 2024. During the first two months of 2024 we have already booked one significant contract with a new IP customer and believe we will have a second one booked later this week. These two contracts, and others we believe we will book in the coming months, will contribute to cash flow throughout 2024. However, revenue will not be recognized on our income statement until the second half of the year. I would like to provide a little more color on both of these designs. The first new contract that we’ve finalized already this year is exciting and, we believe, indicative of forward design trends that favor the incorporation of eFPGA technology. I cannot go into as much detail on this design, but I can share it is a new Defense Industrial Base customer and the application is not related to our large government contract. This design will be fabricated by GlobalFoundries on its low power 12-nanometer process known as 12LP. We believe there will be opportunities to expand our engagement with this customer going forward. The second of the contracts is with a large company that I’m sure you would recognize. This design is for a new ultra-low-power SoC that is targeting a variety of commercial and industrial IoT applications as well as aerospace and defense applications outside the U.S. This design has been referenced in prior calls as government funded and will be fabricated by TSMC on its 12-nanometer process. Within the SoC, our eFPGA technology is used for AI acceleration, which is a necessary function in most AI applications. We believe this will prove to be a rapidly growing application that is often better served by FPGA technology than a processor running the acceleration algorithms in software. If you’ll forgive me for diverging into a little tech-talk, I’ll briefly explain why this is the case. Acceleration is accomplished by processing data using an algorithm. Because acceleration is very important and can provide key competitive advantages for our customers, these acceleration algorithms are constantly refined and changed. Due to this, the semiconductor device tasked with running the algorithms must be able to adapt to changes in algorithms. Since it is impossible for a fixed ASIC to adapt to these changes, the only two ways to support the requirement are a processor or programmable logic, which is most commonly accomplished today with FPGA technology. The challenge here is that while these acceleration algorithms can run in a processor and the processor can be reprogrammed for algorithm changes, processors are inherently slower and consume far more power than pure hardware solutions like FPGAs. In this particular application, the priority was the lowest possible power consumption, and that is what led the customer to select our ultra-low-power eFPGA IP. As AI expands into edge applications, we believe this will be a common application for eFPGA that we are very well positioned to address. In November 2022, I shared that we had taped out a new device for a customer that incorporates our eFPGA IP. Due to strict confidentiality requirements, I can't share more details on the specific design win beyond a brief update. We continued our work on this design during 2023 and it contributed revenue throughout the year including Q4. The customer is now working through certain aspects of the design. We believe this will take a couple of quarters and that our activity will resume during the second half of 2024. This customer could represent tens of millions of dollars in potential device revenue starting in a couple of years. Last September, we announced a leading technology company chose our eFPGA IP for a design that will be fabricated using GlobalFoundries 22FDX platform. Again, due to strict confidentiality requirements, I cannot go into more detail on the design, but I can share that we are on schedule to deliver our IP during this quarter. Last November, we announced a global semiconductor leader chose our eFPGA IP for a design that will be fabricated on UMCs 22-nanometer platform. We are on schedule to deliver our IP for this design during this Q1. In total, we will be on contract to either deliver or begin development of our IP on six different foundry/process technology combinations this quarter. This is up 3X from a year-ago, demonstrating the market demand for eFPGA IP is accelerating and that the automation from our Australis IP Generator enables us to address the demand in a scalable way. I continue to be encouraged by the early steps we took to capitalize on the rising Chiplet market, and I am not at all surprised to see it as headline news today. Chiplet architectures enable customers to much more cost effectively incorporate FPGA into new designs. The research firm Market US, recently released its 10-year forecast projecting the Chiplet market will grow from only a few billion dollars in 2023 to $107 billion in 2033. That represents a 10-year CAGR of over 42%, and I believe we are very well positioned to capitalize on this growth. We have several Chiplet opportunities in our funnel including deals with our partner, YorChip. As a matter of fact, we submitted a proposal to one customer earlier this month and have another on tap that we expect to submit later in the first half. Our lead smartphone customer has worked through its excess inventory of EOS S3 and we resumed shipping during Q4 to support production. We expect the volume to increase in 2024 as our EOS S3 solution was selected for new designs that will ship into 2025. We are also forecasting modest increases in display bridge shipments this year and expect mature product revenue will be similar to what it was in 2023. The private label agreement that SensiML established last quarter with a leading MCU company is building traction, but not yet delivering revenue. The MCU company has established end-customer engagements and SensiML has established some notable engagements independently. We are optimistic that these and future engagements will lead to a material increase in SensiML revenue in 2024. With that, let me now turn the call over to Elias for a review of the financial results, and I will rejoin for our closing remarks. Elias, please go ahead.
Elias Nader: Thank you, Brian and good afternoon everyone. Revenue was slightly above the midpoint of our guidance range and drove record Q4 net income, bringing the full-year 2023 to record profitability on a non-GAAP basis. Specifically, revenue in Q4 was $7.5 million, up 12% from the third quarter and up 83% from the fourth quarter of 2022. Our results benefited from higher eFPGA IP license and professional services revenue with another full quarter of the second phase of the large eFPGA contract as well as higher smart connectivity and sensor product revenue. Within our Q4 revenue, sales of new products were approximately $6.8 million. This compares to $6.1 million last quarter up 12% and $2.8 million in the fourth quarter of 2022 up 140%. Mature product revenue was approximately $0.7 million, an increase of 15% from $0.6 million last quarter although down from $1.2 million in Q4 last year. Non-GAAP gross margin in Q4 was 78.3% compared with 78% in the third quarter of 2023 and 53.2% in the fourth quarter of 2022. The strong gross margins in the last two quarters resulted from the higher revenue level and a change in the mix of deliverables within eFPGA-related revenue to a higher percentage of professional services as well as continued cost controls. Our non-GAAP operating expenses in Q4 2023 were approximately $3.1 million. This compares with non-GAAP operating expenses of $3.3 million last quarter and $2.4 million in the fourth quarter a year-ago. Non-GAAP operating expenses were lower than our outlook due to the timing of certain payments and the classification of certain professional services to COGS. Non-GAAP net income was a record $2.6 million, or $0.18 per diluted share. This compares to non-GAAP net income of $1.8 million, or $0.13 per share, last quarter, and a non-GAAP net loss of $544,000 or $0.04 per share, in the fourth quarter of fiscal 2022. Now turning to the full-year fiscal 2023 results. Total revenue was $21.2 million, up 31% from $16.2 million in fiscal 2022. New product revenue was $18.2 million compared to $11.7 million in the prior year. The increase was primarily driven by higher eFPGA IP and professional services that offset decreases in Smart Connectivity and EOS S3 revenue caused by customers digesting excess inventory. As Brian noted, we saw some rebound in new silicon revenue during Q4 and expect this trend to continue during 2024. Mature product revenue was $3 million compared to $4.5 million in fiscal 2022. We anticipate mature product revenue in 2024 will be similar to 2023. For the full fiscal year 2023, we had one customer that accounted for 10% or more of our revenue. Non-GAAP gross margin for 2023 was 69.8% compared to 56.1% in 2022. The year-over-year increase was primarily due to the higher revenue level, a change in the mix of deliverables, the capitalization of certain long-lived investments and continued cost controls. And while revenue was up 31% from the prior year, non-GAAP operating expenses increased approximately 13% to $12.2 million from $10.8 million in 2022 as we continue to maintain effective expense controls. The combination of strong revenue growth and controlled operating expenses translated into record non-GAAP net income of $2.3 million, or $0.17 per share, compared to a non-GAAP net loss of $2.2 million in 2022. Total cash at the end of 2023 was $24.6 million, compared with $19.2 million at year end 2022. This is inclusive of our newly amended and restated credit facility that was increased from $15 million to $20 million and extended to the end of 2025. Net cash increased by approximately $1 million sequentially. Now moving to our guidance for the first quarter of fiscal 2024, which will end on March 31, 2024. Revenue guidance for Q1 2024 is approximately $6.2 million, plus or minus 10%, which is up 50% over Q1 2023. First quarter revenue is expected to be comprised of approximately $5.1 million of new products, which is a year-over-year increase of 67%, and $1.1 million of mature products, which is essentially flat with last year. The sequential revenue decline from Q4 2023 is due to the timing and cadence of large IP contracts and a strategic shift that allocates a higher percentage of contract revenue to IP versus engineering services to better align with the value of our deliverables. While this will result in shifting certain revenue recognition to the second half of the year, it is not expected to impact the timing of cash flow from these contracts. For the full-year 2024, we expect to grow revenue by more than 30% and generate positive cash flow. Based on the anticipated Q1 revenue mix, non-GAAP gross margin for the quarter is expected to be approximately 70%, plus or minus 5 percentage points. Our non-GAAP operating expenses will be approximately $3.5 million, plus or minus 10%. We believe quarterly non-GAAP OpEx will remain in the $3.5 million range this year with occasional increases to support new programs. Please keep in mind that given our industry, we may be required to reclassify certain expenses to COGS or capitalize certain costs at times. The reclassifications are mainly related to labor and tooling for our revenue contracts with customers. Capitalization may reduce OpEx and change the timing for recognizing the corresponding expenses in COGS. This may cause variability in our gross margins and operating results. With these variables in mind, we believe our full-year 2024 non-GAAP gross profit margin will be in the upper 60% range. After interest, other income and taxes, we currently forecast that our Q1 non-GAAP net income will be approximately $0.5 million to $1.1 million, or $0.03 to $0.08 per share, based on roughly 14.4 million fully diluted shares. We believe we are well positioned to deliver strong profitability for the full-year 2024. The difference between our GAAP and non-GAAP results is related to non-cash, stock-based compensation expenses. In Q1, we expect this compensation will be approximately $0.7 million. As a reminder, there will be movement in our stock-based compensation during the year and it may vary each quarter based on the timing of grants to employees. With investments this quarter to support the new design wins that we have discussed, including hiring critical engineering and sales roles and the timing of certain payments, at the midpoint, we expect cash usage to be less than $1 million in Q1. These investments are in anticipation of continued strong growth in 2024 and timed with the signing of new contracts for design wins. As I noted earlier, we are on track to be cash flow positive for the full-year 2024. Thank you very much. With that, let me now turn the call back over to Brian for his closing remarks.
Brian Faith: Thank you, Elias. The amazing team I get to work with every day has, in only three years, driven the development of a successful, profitable and high-growth IP business model. Thank you all for your hard work and dedication. We have also maintained our core capabilities as a silicon supplier that we will more fully leverage in our Storefront and other device orientated strategies going forward. This ability to provide turnkey solutions for our IP customers sets us apart from our competition. Since launching our IP business model in 2020, we’ve grown non-GAAP gross profit dollars by over 230% and, with a modest reduction in non-GAAP OpEx, our operating leverage has increased by a remarkable 251%. While this performance marks a great turnaround story, I think the best is yet to come. We exited 2023 with not only solid traction, but also momentum. We have already booked one significant contract with a new IP customer and have a second to be booked later this week. We have also realized net funnel growth to a record $168 million. This is a sterling example of the old adage that success breeds success. As new bookings grow, so do new opportunities. While we expect 2024 will be a year of strong growth, profitability and positive cash flow that is driven mostly by new IP customers, we also believe that royalty and storefront revenue will soon be visible on the horizon to accelerate our growth in future years. With that, I would like to open the call for questions.
Operator: [Operator Instructions] And our first question comes from the line of Rick Neaton with Rivershore Investment Research. Please proceed.
Richard Neaton: Thank you and good afternoon, Brian and Elias. My first question is, congratulations on a profitable 2023. In looking at how your revenue is going to be second half weighted this year, the revenue recognition as opposed to the cash flow. What percentages would you put on that 40-60, 45-55, how, in general, should we look at that?
Brian Faith: You mean second half to first half as a percentage of total?
Richard Neaton: Yes.
Brian Faith: Well, greater than 50% will be second half. I don't think it's going to be as high as 70% or 80%, but greater than 50%. And I'll just make a comment here. As we get into more of these larger IP contracts, we are probably more certain of winning something than the actual timing of the contract getting executed because you can imagine the larger the contract, the more complicated the contracting process is. And that's why I think we're taking a somewhat conservative approach now that revenue lays out in addition to the point that you reinforced on this shift in how we're assigning the value of the contracts between the upfront work versus the IP license that's recognized at the end of the deliverable period. Yes, it's more than 50% will be second half. I think I'll also add that I think if you look, on an annual basis, quarter-to-quarter reference. So like Q1 2023, Q1 2024, Q2 2023, Q2 2024, I think we're safely forecasting that every quarter in Q1 or sorry, in 2024 will be greater than the corresponding quarter in 2023. And if you just lay that out in the model, you can see that, that would be greater than 50% of the revenue would be in the second half, but also not what I would call a hockey stick either.
Richard Neaton: Okay and thanks for that color on that issue. The new contract that you expect to book this week relates back to a customer you've talked about for several quarters, the one at TSM, is that the one that you referenced could produce tens of millions of dollars of device or chip revenue in a year or two? Is that the same one?
Brian Faith: No, that's a different customer. And that's a good thing. We need more shots on goal and more opportunities to engage with IP and potentially convert it to a storefront deal. But now that, to be clear, that's a different customer than that one.
Richard Neaton: Okay. Thanks for that clarity there. One final question on FPGA and AI at the edge. You see that as a growing market. Is that weighted towards the second half of this decade. In other words, as AI rolls out in large supercomputers in the data centers right now with GPUs as accelerators, are you seeing AI at the edge more of a 2025 to 2030 narrative or even starting second half of this year?
Brian Faith: Well, as far as revenue impact to us, I think it's going to be starting from second half of this year based on this contract that we're going to be signing here imminently. But they're not alone in discussing that kind of a use case with us. I think a lot of people are trying to figure out, not everybody wants to use NVIDIA, everybody is today, but not everybody wants to. And I think as soon as people can figure out other ways of tackling that problem FPGA technology being one of those and then the software stacks associated with that once they start figuring that out, then I think you'll see more people using that type of technology and when I say FPGA, I really should say eFPGA because I think naturally, people are trying to look at doing their own ASICs and take control of our own destiny in that sense. So I think that will drive future opportunities for us. And the more of these wins that we have today that we can articulate value propositions like that to other people, I think that will help accelerate that. And then just to the point about the edge and the data center A lot of people are – I think all the press right now is going towards the data center because of all the generative AI grabbing all the headlines. And so naturally, what we read and hear about is more on that end of the spectrum. But there's still a fundamental physics problem in how you do some level of inferencing for what I'll call more practical applications at the edge. And we're seeing people look at FPGA and eFPGA technology for that. And again, that's what drove this soon to be signed contract, and I'm sure that company is not alone in being able to use FPGA for those types of use cases.
Richard Neaton: Okay. Thanks for that explanation, Brian.
Brian Faith: Thanks, Rick.
Richard Neaton: And thank you for letting me ask these questions.
Brian Faith: Absolutely. Thank you.
Operator: And our next question comes from the line of Richard Shannon with Craig-Hallum. Please proceed
Richard Shannon: Well, hi, Brian, Elias. Thanks for taking my questions. And I'll add my congratulations on a profitable 2023 great accomplishment.
Brian Faith: Thank you.
Elias Nader: Thank you, Richard.
Richard Shannon: Let's see here, a couple of things I wanted to touch on here. A lot of interesting details you shared here today, Brian. I guess I want to ask about the strategic Rad-Hard contract, and I wanted to make sure I understood the intent of the comment about returning to a previous run rate of that contract or I'm sure I butchered your language here, Brian, but maybe you could repeat that and explain what that means?
Brian Faith: I'm going to try to do that in a way that I'm allowed to do that. Let me see the right way to say this. So right now, we're doing something with two fabs, and we're doing a lot of design continually on RH90 and, I'll call it, catching up or accelerating similar type design on the Honeywell process. I don't know that it's going to continue like that forever. As far as that amount of work and that amount of time on two foundries. And so we're taking a conservative view of what that means for our revenue in this quarter and for the balance of the year. And I would like to think that we are being conservative and that there's opportunities to increase that within the same time period. And I really can't go into further details on that. And I hope that you are okay with that sensitivity.
Richard Shannon: I guess I'll have to be okay with it, Brian, but I'm just [chosen] to ask a couple more questions on that, but I'll resist the temptation here.
Brian Faith: I'll always answer what I'm allowed to answer, but nothing more.
Richard Shannon: Yes. I know you have been. Let's see here, so you mentioned a couple of contracts here or one signed and one expected to be signed here shortly. And you made a just a phrase in response to one of the last questions here about the size of these contracts, seemingly growing larger. And obviously, other than the strategic Rad-Hard, which is obviously in a zone of its own here. Are you generally seeing a trend of larger IP contracts, at least so far this year versus last year and the year before? Or am I mashing up your words there?
Brian Faith: No, I'd say the average that we are seeing is up. And we're going to put a press release out tomorrow morning on the 12-nanometer one that’s that we talked about today on the call and you'll see a dollar figure, a rough dollar figure in that press release that we didn't go into on the call. So you'll see that generally, they're trending up. Yes. That's a good time. I think the more people are starting to appreciate embedded FPGA technology and not just tire kick and experiment with it. I think a lot of them are coming to appreciate the ROI that it gives them in the sense that if they don't have to go off and respend a chip, respend a mask as you get into these more aggressive process technologies, that's a real savings from an NRE perspective. And so if we can attribute some of that savings to the value that we bring, then our prices go up. And so I think there is an appreciation of the value proposition and also naturally as we get more of these advanced process technologies supported just by that very fact, you're going to see an uplift in our selling prices and the contract value because they're more expensive notes, those projects, in general, are going to be quite a bit more expensive for the end customer to embark on than something in a laggard technology.
Richard Shannon: So does that mean that the process node is a primary determinant of total cost or value of the contract in or just an important factor?
Brian Faith: It's a marker for it, but it's not the only thing. I mean, how much logic they need, how much customization goes into the core that they're wanting from us, the work those they're trying to run. All of those are factors that go into how we price the IP. We have to have a starting price book, of course, for things just as a reference, but everything from there – because remember, our value proposition with Australis is that we're agile. We can adapt the core to meet the needs of the customer to the workload it’s going to run. So really, it's not a one size fits all even within a process node. And because of that, that impacts the work. It impacts the value and, therefore, the price. And we're big believers in value-based pricing. So no two customers have the same price, right? It all comes down to the value of the work together.
Richard Shannon: Right. Okay. Let's see here, maybe a couple of more questions. I'll jump out of line here. One of your comments, Brian, you alluded to storefront and royalty revenues. I don't think you're referring to or having us expect to see any notable revenues from either of those opportunities this year. So if you could clarify that. And then how do we think about as we get into 2025, how could those be contributory in any way? And I guess, since you've quantified and talked about the potential impact of storefront revenue specifically, could that be a big contributor in calendar 2025?
Brian Faith: I don't know that storefront will be a big contributor. I think it will be a contributor. And let's just step back and say, why do we even talk about storefront to begin with. So when we started as a company, we started as a fabless FPGA company and all we did was sell devices. So we have all the infrastructure that you would expect a device company to have. We have operations team, supply chain relationships and everything. Anybody that's been to our office has seen that. As we brought the IP business model out, we were able to leverage that infrastructure that we've already invested in because some companies, they like the notion of IP, they like the idea of doing their own device but maybe they need more than that, especially as FPGA becomes a greater percentage of the total content of their chip, sometimes they, I think, prefer to just let an FPGA company do that for them. And so that's where we're getting nice synergy by having both of these business models. And it is truly a differentiator compared to just an IP company or just an FPGA company. So the work that we're doing within that storefront area I would say, largely is like that upfront IP work. We talked about that customer, that tape-out customer that we've been doing work on even in 2023. Eventually, those things are going to go to production. And when they go to production, then we can do the device revenues. And I think like I started answering your question, it will start in 2025 to some extent. But as far as like becoming a meaningful percent. I think we're modeling beyond 2025 for that and that's okay. If you think like fast forward a couple more years than the end of this government contract is there and the devices are starting to be available to be designed into real systems. That's when I think we should all expect sort of the step function increase to take place from the storefront revenue, really kicking in because storefront revenue is going to far exceed any IP license or royalty that we would see for these types of designs, right?
Richard Shannon: Okay. Fair enough. I'll ask one more question and jump out of line here. So obviously, we've hit profitability. We're going to have a nice growth here with seemingly better profitability, at least gross profit contribution. How do we think about your investments in OpEx here as you go throughout the year? Are you going to keep it relatively flat or kind of opening up some job openings in any way? Or how do we think about this both kind of qualitatively as so as quantitatively?
Brian Faith: I'll let Elias do the quantitative and then I'll give some qualitative comments on that.
Elias Nader: Yes. So I think we're going to be like around the $3.5 million. So that's definitely an increase of about $300,000, Richard a quarter, I think, mainly because we have – we do have positions open. We've been very vocal about it with everyone. If you go to our careers website, you'll see it open. We have a lot of engineering position open. We have just hired a sales person in the U.S. that was very necessary. So where applicable, we are going to hire and basically spend the money to invest in the business. But that's really a very small change compared to what we're expecting growth.
Brian Faith: Right. So the qualitative comments on top of that. So I was actually on a panel at a Chiplet Summit a couple of weeks ago in Santa Clara Convention Center. And the whole topic of that was around innovation and entrepreneurship in chiplets primarily, but it extends to semiconductors. And so one of the topics of discussion was how do we run our companies. And my answer to that was we run this company like a publicly traded startup. What does that mean? That means, obviously, we have to be mindful of all the financial metrics and targets that a public company has to do. Internally, we run it like a start-up where we – people are wearing multiple hats. We are really focused on customer and growth and revenue and doing it in a prudent, financially responsible way and likes to make sure that we do that. So that 3.5% increase from this coming this past year is really about looking at those opportunities that we do on a regular basis and these rifle shot hires that increase the capacity in our engineering team to execute on those revenue opportunities. And so that's why the growth in the headcount is primarily sales, which is top of funnel. We clearly had sort of tapped out the capacity of our current sales team. We want to add more because we saw so much of this opportunity, especially in the U.S. that warranted having another person handling some of that. And then on the engineering side, Australis is wonderful because it's automated. But at the end of the day, you still need engineering people to provide the intellect and porting these things in different process nodes and making those customizations that I mentioned earlier that drive value for customers. And so more opportunities coming in. We have to add more engineers and we love doing that because, a, that means there's demand; and b, I think we have a model, a scalable model in place where we can add those and we can still remain profitable as we do it. So profitable growth and customer diversification is really key for us this year and that will come from these hires, right, driving more topline opportunities and executing on those revenue contracts. So yes, you will see increase. I think most of the increase that Elias talked about is probably in headcount. And I think that's for a very good reason.
Richard Shannon: Okay. I appreciate the answer, guys. As always. I'll jump on line. Thanks.
Brian Faith: Thanks, Richard.
Elias Nader: Thanks, Richard.
Operator: [Operator Instructions] There are no further questions at this time. I'd like to pass the call back to Brian Faith for closing remarks.
Brian Faith: Well, I'd like to, as always, thank everybody for joining the call today, and I look forward to seeing you at either a trade show or an investor conference or at our next earnings call, which will be approximately three months from now. Have a great day. Thank you.
Operator: This concludes today's conference. You may now disconnect your lines. Enjoy the rest of your day.